Operator: Welcome to the Fiscal 2018 Third Quarter Earnings Call for Applied Industrial Technologies. My name is Virgil, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Julie Kho. Julie, you may begin.
Julie A. Kho - Applied Industrial Technologies, Inc.: Thank you, Virgil, and good morning, everyone. Our release was issued this morning before the market opened. If you haven't received it, you can retrieve it from our website at applied.com. Also a supplemental investor deck detailing latest quarter results is available for reference on the Investor Relations portion of our website. Our replay of today's broadcast will be available for the next two weeks as noted in the press release. Before we begin, I would like to remind everyone that we'll discuss Applied's business outlook during the conference call and make statements that are considered forward-looking. All forward-looking statements, including those made during the question-and-answer portion, speak only as of the date hereof and are based on current expectations that are subject to certain risks, including trends in various industry sectors and geographies, the success of our various business strategies and other risk factors provided in our press release and identified in Applied's most recent periodic report and other filings made with the SEC, which are available at the Investor Relations section of our website at applied.com. Accordingly, actual results may differ materially from those expressed in the forward-looking statements. The company undertakes no obligation to update publicly or revise any forward-looking statements, whether due to new information or events or otherwise. In addition, the conference call includes the use of non-GAAP financial measures. These measures are explained in our press release and in the supplemental presentation material and are subject to the qualifications referenced in those documents. In compliance with SEC Regulation FD, this teleconference is being made available to the media and the general public as well as to analysts and investors. Because the teleconference and its webcast are open to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Our speakers today include Neil Schrimsher, Applied's President and Chief Executive Officer; and Dave Wells, our Chief Financial Officer. I will now turn the call over to Neil.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Thank you, Julie, and good morning everyone. We appreciate you joining us. I'll begin with a brief recap of our results. Our net sales for the third quarter grew 21.8% to $827.7 million from $679.3 million in the same quarter a year ago. Net income for the quarter increased 24.1% to $36.6 million from $29.5 million, and earnings per share rose 24% to $0.93 per share compared with $0.75 per share in the prior year quarter. Our strong third quarter results reflect broad-based execution across our business groups, along with the expected two-month contributions from the recent acquisition of FCX Performance. While less than 90 days since closing, I could not be more pleased or excited about the efforts today. I want to thank the FCX team members and Applied associates for their energy, engagement and focus to serving our customers and contributing to our overall business performance. Throughout our business, we have significant opportunities for growth, both our product offering and expanding value-added capabilities that further enhance our differentiation, as the technical MRO distribution leader. Now with a closer look at our financial performance for the quarter, here is Dave.
David K. Wells - Applied Industrial Technologies, Inc.: Thanks, Neil, and good morning everyone. I'll begin with further details in our most recent quarter financial performance, and then move on to some additional color on our updated fiscal year 2018 outlook. Starting with the top line, as Neil mentioned, for the quarter ended March 2018, sales increased 21.8% over the prior year quarter. This was comprised of a 6.7% organic increase coupled with an 80 basis point benefit from foreign currency exchange and 15.3% acquisition related increase. Year-over-year comparative performance also included a 1% dilutive impact attributed to one half less selling day in the quarter. Excluding the two months of FCX Performance acquisition impact, sales per day increased 4.7% sequentially and 7.9% year-over-year. Third quarter sales in our Service Center-Based Distribution segment increased $27.4 million or 4.8%. Acquisitions within this segment increased sales by $0.9 million or 20 basis points and foreign currency fluctuations increased sales by 1%. Excluding the impact of acquisitions and currency translation, sales increased by $20.9 million or 3.6%, driven by a 4.4% core operational increase, which was partially offset by a 0.8% headwind due to the one half less selling day in this year's quarter. Moving to our fluid power and flow control segment, third quarter sales increased $121 million or 114.6% as compared to prior year. Acquisitions within this segment generated $103 million of this increase or 97.6% year-over-year segment growth. Excluding the impact of acquisitions, sales increased $18 million or 17%, driven by a core operational increase of 18.7%. Again core operational performance was partially offset by a 1.7% decrease attributed to differential in selling days. From a geographic perspective, sales in the quarter for our U.S. operations were up 24.7%, with acquisitions driving an increase of 18%. Excluding acquisition impact, sales from U.S. operations increased by $38.2 million or 6.7%, comprised of 7.7% organic growth, offset by a 1% decrease due to one half less selling day in the quarter. Sales from our businesses outside of United States, which increased 6.8% versus the prior year quarter, represented the balance of the increase over prior year sales. Moving on to gross margins. Our gross profit percentage for the quarter was 28.9%, up 85 basis points year-over-year. Excluding the benefit from the FCX acquisition, gross profit margin for the core business was 28.4%. This represents a 30 basis point year-over-year and 15 basis points sequential improvement as a result of traction realized from various margin improvement initiatives. Additionally, two months of FCX acquisition results drove another 56 basis points of margin expansion year-over-year. Our selling, distribution and administrative expenses on an absolute basis increased $38 million, or 26.1% when compared to the same quarter in the prior year. Acquired businesses accounted for $32.7 million, or 22.5% of the year-over-year growth, including $5.7 million in one-time acquisition cost and $4.2 million of intangibles amortization related to the FCX acquisition. Changes in foreign currency rates increased SG&A in the quarter by $1.3 million or 0.9% compared to the prior year quarter. Excluding the impact of acquisitions and currency translation, SG&A increased only $4 million or 2.7% year-over-year for the quarter, driven primarily by the impact of annual merit increases and higher performance based incentives. Excluding the impact of acquisitions, average head count in the quarter was down 15 positions year-over-year, reflecting continued leverage of systems investments and productivity initiatives. Resulting EBITDA for the quarter was $72.3 million or 8.7% of sales. This included the adverse impact of $5.7 million of the total $6.7 million in one-time transaction cost, associated with the FCX acquisition, which were recorded in SG&A. The effective income tax rate was 26.1% for the quarter, which was lower than we guided, primarily as a result of 120 basis points or $1.3 million benefit recognized from discrete tax adjustments. We now expect our fourth quarter effective tax rate to be in the range of 33% to 34% of pre-tax earnings, as we complete the final re-measurements of certain deferred taxes from the blended 28% fiscal year 2018 rate to the go forward 21% U.S. statutory rate. Our consolidated balance sheet remains strong with shareholders' equity of $806 million. Following the culmination of the FCX Performance transaction and borrowing to fund the acquisition, our capital allocation priorities remain focused on delevering and continuing to deliver shareholder value by maintaining our track record of consistent dividend payments. As such, there was no share repurchase activity in the quarter. Additionally, we extinguished $25 million of the initial $112.5 million revolver draw, taken as we executed our new credit facility January 31, to fund the FCX Performance acquisition. Cash generated from operating activities was $26.7 million for the quarter, $6.1 million lower than the prior year quarter. Year-over-year build of accounts receivable within the quarter reflected improved collections performance and past due reduction, but was still a $7.5 million headwind as a result of incremental volumes. As we look forward to our June fiscal year-end, we expect operational inventory levels to decrease by $20 million. Additionally, we expect to recognize further benefits from our collections and payables working capital management initiatives currently ongoing to maximize our fourth quarter cash flow. Regarding our full year outlook, as referenced in today's earnings release, we raised our fiscal year 2018 earnings guidance to a range of $3.51 to $3.61 per share and a sales increase of 17.5% to 18.5%. Excluding the benefit of the FCX Performance acquisition, this assumes a sales increase of between 8.1% to 8.6% for the year, based on continued positive near-term industrial market outlook and further traction from our strategic growth initiatives. Additionally, our full-year EPS guidance includes $0.12 in one-time transaction related cash costs associated with the FCX acquisition as well as $0.19 incremental non-cash amortization. With that, I will now turn the call back over to Neil for some final closing comments.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Thanks, Dave. In summary, we are pleased with our overall performance and accomplishments today. However, we are not satisfied. We know there is more work to be done to realize our full potential. With our annual planning process underway, we look forward to building on this momentum, generating a strong finish to the fiscal year, delivering on our commitments and setting the stage for the next level of growth in fiscal 2019. As we continue to celebrate Applied's 95 years of leadership in distribution, we're evermore energized and excited about our business potential, growth prospects and providing benefits for all our stakeholders. With that, we'll open up the lines for your questions.
Operator: Thank you. We will now begin the question-and-answer session. Your first question comes from Adam Uhlman from Cleveland Research. Please go ahead.
Adam William Uhlman - Cleveland Research Co. LLC: Hi, guys. Good morning.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Good morning, Adam.
Adam William Uhlman - Cleveland Research Co. LLC: Hey, can we start with FCX and the updated earnings guidance for the year, for that business, I guess, could you expand a bit on what you're seeing on the top line and the margin performance. And then secondly, related to that, do you think that your initial earnings accretion estimate of $0.10 to $0.20 for next year is still a reasonable target, or has that gone up as well?
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: I'll start and maybe let Dave come in, especially as we think about it going into next year. The business is performing very well for the first couple of months that we have, and we feel good about it coming into the coming quarter. Obviously, we get one more month. So we think in the guidance, right, our total sales are going to be in the upper 20s to maybe 30% from a growth standpoint. And we think FCX continues at its two months rate. There's some projects in that first couple of months. Maybe there will be a little bit of seasonality. But our thinking is it continues at that rate and then core Applied is in the upper single digit rate, perhaps more than 7 and somewhere above the 8 on the ranges of the guidance. So that's our expectations that we have. And then from the margin standpoint, we know the added month of FCX, right? It will be accretive to our margins overall. So total margins probably improve 40 basis points to maybe 70 or so basis points in that. We believe the core, while it has some opportunities, we know we'll be getting some LIFO expense that will be coming into the fourth quarter as well. So we'll have continuous improvement initiatives, but it may be closer to its number that was in the third quarter with some work underway to make it a little bit better. And...
David K. Wells - Applied Industrial Technologies, Inc.: Yeah. We're seeing some upside, Adam, in the fiscal 2018 guidance in terms of some volume benefit, about $0.03 volume benefit as well as about $0.08 benefit from lower amortization expense versus our initial assumptions. I think thinking about the full year 2019 guidance, we've not updated, obviously, the 2019 guidance. But you could expect some of that amortization benefit to flow through to the full-year impact there.
Adam William Uhlman - Cleveland Research Co. LLC: Okay. And then just a follow-up. How big is the expected LIFO expense that you are going to see next quarter?
David K. Wells - Applied Industrial Technologies, Inc.: We've not got a good estimate on that at this point, Adam, but could be 10 to 20 basis point headwind.
Adam William Uhlman - Cleveland Research Co. LLC: Okay. Thank you.
Operator: Your next question comes from Ryan Cieslak from Northcoast Research. Please go ahead.
Avi Danda - Northcoast Research: Hi guys, good morning. This is Avi on for Ryan.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Good morning.
Avi Danda - Northcoast Research: Could you guys just discuss some of the pricing dynamics in the quarter in terms of how much that contributed to topline growth? And how is any impact it had on gross margins, as it relates to price cost spreads and your ability to pass that through. And then going forward, the indication from suppliers as it relates to additional price increases. Thanks.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Sure. So I would say, overall, if we look at the gross margin improvements that we had, including on the legacy business, the 30 basis points year-over-year and the 15 basis points sequentially, we feel like we did good work addressing or managing inflation that was coming at us. We remind ourselves and maybe it's not obvious to everyone, as we think about price volume as it relates to sales about less than one-third of our SKUs, our product sold are repeatable to the prior year quarter, where you can get a true absolute price metric. Two-thirds are unique, either based on their sales frequency, their value-added configuration or assemblies of other products. So you don't get perfect match to that. So if I think about it from a sales standpoint and what it may have contributed, I think price could have been more than 1%, maybe not 2% in that. If I think about it from the supplier side and what is coming, that's probably more in the 3% to 4% range. So we would expect in time that to work through, but it's still more on the – we get the price measurement clearly on about a one-third of our SKUs that we sell on a quarterly basis. And then on the others, we feel like we're doing a nice job recognizing that cost that we would see and reflecting it in those sales as well.
David K. Wells - Applied Industrial Technologies, Inc.: Yeah, I'd just here again point to the year-over-year benefit that we saw in margins continue to work the price, the vendor support as well as some of the margin initiatives to offset the inflationary impact we're seeing, plus we have some LIFO headwinds that we did see in this quarter as well.
Avi Danda - Northcoast Research: Thanks, that's very helpful. And just second question, if I may. With growth moving significantly higher in the last several quarters, do you feel like your supply chain is well equipped? Or is there enough capacity and minimal (19:14) pinch points to support the level of growth you're realizing without maybe having to increase your level of SG&A investment going forward? Thanks.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: I'll start. I believe we're in a very good position. We think about the systems and the technology investments that we're having. Those are yielding benefits, speed, efficiency, productivity for us. And so we really look for our staffing actions to be around forward facing resources with, perhaps, less requirements or freeing up time for those that were just doing a back office functionality. So we feel we're in a very good position, as we look at the SG&A rate of what it was in the quarter. It helps provide nice leverage on that volume, and we feel that's our potential looking forward as well.
David K. Wells - Applied Industrial Technologies, Inc.: And clearly, again we saw that in the quarter with SG&A being up only 2.7%, average head count being down year-over-year, despite the higher volumes.
Avi Danda - Northcoast Research: Thank you.
Operator: Your next question comes from Jason Rodgers from Great Lakes Review. Please go ahead.
Jason A. Rodgers - Great Lakes Review: Yes. I just want to make sure I understand the expected tax rate. What are you projecting for the fourth quarter?
David K. Wells - Applied Industrial Technologies, Inc.: Fourth quarter will be back to 33% to 34% effective tax rate, as we go through the final re-measurement. Here again, we're on the blended tax rate since we straddled the Tax Act change 28% this year. That will step down to 21%, as we exit our fiscal year and move into fiscal 2019. And the final re-measurement caused that spike then in Q4. As we round the corner, obviously, then we're looking at a kind of 23% to 25% ongoing effective tax rate as we move forward in fiscal 2019.
Jason A. Rodgers - Great Lakes Review: All right. And if you could comment on the industry performance in the quarter as well as the performance of the oil and gas markets and the expectation for the oil and gas for the fourth quarter.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Okay. So our sales performance in the top 30 industries, we would've had 21 with increases, positives around oil and gas, so we'll get to that. I think primary metals, machinery OEMs, aggregates, chemicals are doing well, food and others that are either close to or demonstrating encouraging trends. On oil and gas, we think about it on a sales per day basis sequentially, it would have improved 10%. It's predominantly in the upstream, drilling and ongoing production. The U.S. is faring better in many areas, but especially the Permian Basin. Many will say Permian output is going to approach 3 million barrels a day in May, looking out over a longer time horizon, some say that will go to – by 2023 to 4 million barrels a day. So that's encouraging. There's more pipelines that's connecting the Permian that are being built to either Corpus or to Houston. So that's also good for those businesses located there, including FCX and EAD (22:53) So that's driving a lot of that activity. And looking forward, we would expect that performance to continue. So in the quarter, it's probably a teens-type year-over-year improvement.
Jason A. Rodgers - Great Lakes Review: And if I could just squeeze one more in. Performance in April, how are sales tracking?
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: As we think about month to-date April is as expected, year-over-year it's upper single digits comparison. So good activity going on. If we look at quarter point to March, a very similar, with a few days ago, maybe slightly down. But I think it's going to be in a good rate in comparison sequentially and set up well from a year-over-year standpoint.
Jason A. Rodgers - Great Lakes Review: Sounds good. Thank you.
Operator: Your next question comes from Chris Dankert from Longbow Research. Please go ahead.
Chris Dankert - Longbow Research LLC: Hey, good morning, guys. Thanks for taking my question.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Sure.
David K. Wells - Applied Industrial Technologies, Inc.: Hello Chris.
Chris Dankert - Longbow Research LLC: I guess, first off, just thinking about you said Ag, some of the heavy equipment stuff doing better, looking at fluid power, I guess, what's the backlog was it like in that business right now? Kind of just any commentary on health in fluid power specifically.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: So our fluid power performance continues to be strong, I think plus 13% backlog from a year-over-year basis, plus 20% sequentially in the quarter. It grew. So that's productive. And the teams continue to do a nice job, connecting technology to the designs and offering and helping mobile and industrial OEMs improve their products and offerings with features and benefits. So businesses are performing well. And then on the MRO side, we're just active with industrials, helping them either with machine control, energy savings around pneumatics. So that side of our business has been positive as well. And then we think about it taking one step going forward natural link with process controls is very positive and should aid the business as we move into future quarters as well.
Chris Dankert - Longbow Research LLC: Got it. That's really helpful. And then just wanted to make sure I heard the comment correctly, so going forward, it sounds like deleveraging is going to be a focus here. So it's fair to assume that interest expense is going to be lower than just what the headline would read – I mean, I'm just trying to look at 2019. If you'll give us the commentary that's great. But less than $40 million interest expense seems like a fair range?
David K. Wells - Applied Industrial Technologies, Inc.: Yeah, as we work through delevering that would be an expectation for sure to continue to mitigate the interest expense as we move through fiscal 2019.
Chris Dankert - Longbow Research LLC: Got it, got it. And then just one more, if I could. Looking at the balance sheet, it seems like FCX is operating at a very lean basis on inventory days. I guess, is there any kind of best practice gains we realized there on integration, and maybe I'm wrong, but if you just look at the number, it seems like they were doing really, really well on an inventory basis.
David K. Wells - Applied Industrial Technologies, Inc.: I think here again a slightly different business model thinking about the MRO nature there and the engineered components might akin more to our fluid power versus the industrial distribution piece of the business here. But I think we'll continue to share best practices and leverage here again, since we're on the same systems, those operational excellence initiatives to try to leverage the inventory benefits across both pieces of the business.
Chris Dankert - Longbow Research LLC: Sounds good. Thanks so much guys.
David K. Wells - Applied Industrial Technologies, Inc.: Thanks, Chris.
Operator: Your next question comes from Steve Barger from KeyBanc Capital Markets. Please go ahead.
Steve Barger - KeyBanc Capital Markets, Inc.: Hey, good morning, guys.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Good morning, Steve.
David K. Wells - Applied Industrial Technologies, Inc.: Good morning, Steve.
Steve Barger - KeyBanc Capital Markets, Inc.: I got on the call a little bit late, so let me know if this has been covered, but as we – after we've made the adjustments in the quarter, we got an incremental margin of 11%. Is that how we should think about that level for the next few quarters until FCX anniversaries? And then going forward after that, how should we think about incrementals, assuming we stay in a rising volume environment?
David K. Wells - Applied Industrial Technologies, Inc.: We still expect incrementals to be at 11%, 11% includes the impact of the one-time cost if you strip those out.
Steve Barger - KeyBanc Capital Markets, Inc.: We adjusted for those and went to 105 (27:38)
David K. Wells - Applied Industrial Technologies, Inc.: Okay. We would expect, obviously, FCX mixing this up. We talked about $0.14 to $0.15 fall through expectation on the incremental dollar. We would expect that to continue to edge up, as we roll in the complete benefit of the FCX acquisition.
Steve Barger - KeyBanc Capital Markets, Inc.: Okay. And so you would expect even in 4Q and in the first half of 2019 to be able to outperform that level?
David K. Wells - Applied Industrial Technologies, Inc.: Correct.
Steve Barger - KeyBanc Capital Markets, Inc.: Okay. I just got off a machinery OEM call, people are very concerned about order sustainability and cycle longevity and I know you're further down the supply chain, but curious about your view of the cycle in the back half calendar 2018 or even into next year. Just based on what you're seeing, contextually from prior cycles or what you're hearing from customers.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Well, we kicked off our annual planning process. And so we're working it bottoms up right now, and we'll be having sessions with the teams and the business units in the coming days and weeks. But I think most are positive on their outlook as we go through the rest of calendar 2018 and really going into 2019. I know there will be some economist and others that will talk about perhaps 2019 and the back half could have a little bit of softening. I say in that right, (29:06) to be determined. But if we look out over the horizon and our order rate and our backlog where it's relevant in some of those business, the activity that's going on in shops right now are at good high levels. So I think that's what we continue to see through 2018 and we would expect it to carry through a good portion of 2019. After that, I guess, to be determined.
Steve Barger - KeyBanc Capital Markets, Inc.: Sure. As you think about your machinery OEM customers, do you have more exposure to dirt or aerial or traditional construction equipment, any sense of that?
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: To me it's a nice blended mix across, I don't know, seven or eight of those segments, and including others that could be in some cleaner industries that are doing that as well. So it's a nice blend.
Steve Barger - KeyBanc Capital Markets, Inc.: And for the OEMs, pretty broad-based demand ramp that you're seeing, any outliers one way or the other?
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: No. Really no outliers and a portion of it is technology driven, more and more electronic capabilities coming in, those being desired to come in to products. So that is very encouraging. And then now with FCX, we think we have an extended opportunity to increase those from a value-added service standpoint right? Today, they will work on pumps skids, valve stands, providing component and repair services that get actuated by something we're doing today in either hydraulics or pneumatics. So that will be a nice combination on the service side that can provide some additional work.
Steve Barger - KeyBanc Capital Markets, Inc.: Yeah. It's a good segue into my next question. And I know it's really early for this, but as you're getting into the FCX integration, any new things you've learned since we did the call? Opportunities you've uncovered in terms of cross selling, getting more involved in selling value-added services, or just the broad product line?
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: I'd say we are extremely encouraged and excited about all of them. I don't know that we learned anything new in categories, as you have the opportunity to get more in specifics, clearly there is learning. We probably have up to 18 work streams established. Teams identified on them, building action plans around them with a focus on, hey, what can we do to help ourselves in the very near term? What are good mid-term plans and how do we pursue them? And what will even be a little longer term, later term as we think in that synergy horizon. So we are encouraged about those, and we have in our mind, the right focus. The teams are delivering on their core responsibilities, while also seeking the additional opportunities that would either enhance competitiveness in cost or enhance the opportunities for sales and margin.
Steve Barger - KeyBanc Capital Markets, Inc.: Right. Okay. That's a good answer. And one more and I'll get back in the queue. Are there any specific types of products where you're seeing greater inflation? Or can you talk about dynamics in bearings versus hydraulics versus less highly engineered products, just any context.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: Yeah, I think it's – I would say in general, they're pretty similar, as they would go across. I think as suppliers are trying to, perhaps, move away from either older technology or slower moving products to promote new products or some SKU consolidation, they will put more increases on truly older legacy products to help encourage that migration. So we see that and we help our customers work through and sort through that transition in adopting or translating to some of those new products, but I don't think a great deal. And probably a little bit of thought comes up around tariffs but there's really been kind of low no activity to-date to be determined to how it plays out. But also, I think, if it occurs on those products, it's going to come through in the form of on the products on price, which is that mechanism we know how to handle, right? It's not going to come in as an additional item on the invoice which makes it more challenging for everyone to handle on that side. And then the other side as the potential of some of those tariffs in those industries, we could see the early signs of maybe some added activity, right? Hiring, staffing, shifting capacity. So if there's more activity on that from the customer side, at least in early period of time, that can or will contribute to the volume side of it, which can be positive.
Steve Barger - KeyBanc Capital Markets, Inc.: Great. Thanks so much for the time.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: You bet.
Operator: Your next question comes from Jason Rodgers from Great Lakes Review. Please go ahead.
Jason A. Rodgers - Great Lakes Review: Thanks for the follow up. Just had a few housekeeping items. What's the current debt-to-EBITDA? And how much of the debt is fixed?
David K. Wells - Applied Industrial Technologies, Inc.: So we're at about 3.6% gross debt-to-EBITDA. 3.3% – or 3.3% on a net basis. About 17% of that – that we're working towards fixing a greater portion of that with some interest rate hedges, as we move forward here.
Jason A. Rodgers - Great Lakes Review: And what's the cash flow target if you have one to end fiscal 2018?
David K. Wells - Applied Industrial Technologies, Inc.: Yeah. Targeting $140 million to $150 million. We've got – again, part of the story is, the great backlog build we've seen in fluid power, up $25 million in backlog there has been a bit of a headwind for us. But still working through inventory reductions, as we work through some of the pre-buy activity and made some nice traction this quarter in terms of about 2.4% reduction in our past due collections, as well as some payables extension initiatives that continue to contribute here in the Q4.
Jason A. Rodgers - Great Lakes Review: Thank you.
Operator: At this time, I'm showing we have no further questions. I will now turn the call over to Mr. Schrimsher for any closing remarks.
Neil A. Schrimsher - Applied Industrial Technologies, Inc.: I just want to thank everyone for joining us today, and we will look forward to seeing many of you as we move into the quarter.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.